Operator: Hello, and welcome to PAA and PAGP Third Quarter 2024 Earnings Call. At this time, all participants are in listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Blake Fernandez, Vice President of Investor Relations. You may begin.
Blake Fernandez: Thank you, Towanda. Good morning, and welcome to Plains All American's third quarter 2024 earnings call. Today's slide presentation is posted on the Investor Relations website under the News and Events section at plains.com. An audio replay will also be available following today's call. Important disclosures regarding forward-looking statements and non-GAAP financial measures are provided on Slide 2. An overview of today's call is provided on Slide 3. A condensed consolidating balance sheet for PAGP and other reference materials are in the appendix. Today's call will be hosted by our Chairman and CEO, Willie Chiang; Executive Vice President and CFO, Al Swanson, as well as other management team members. With that, I will turn the call over to Willie.
Willie Chiang: Thank you, Blake. Good morning, everyone, and thank you for joining us. Plains delivered another solid operational quarter, as our business continued to strengthen. Based on year-to-date performance and our outlook for the balance of the year, we now expect to be towards the top end of our 2024, adjusted EBITDA guidance range of $2.725 billion to $2.775 billion, as we show on Slide 4. Permian volume growth remains on track, with our original forecast of 200,000 to 300,000 barrels a day range for 2024, that's exit-to-exit. And we're seeing producer efficiencies offsetting lower than forecasted horizontal rig counts. Regarding our NGL business, we're on track to complete our Fort Saskatchewan fractionation expansion project on schedule, and on budget in the first half of 2025. Additionally, we continue to pursue opportunities, to advance our efficient growth strategy through bolt-on acquisitions, and we recently acquired the Fivestones Permian gathering system from Rattler Midstream. As shown on Slide 5, we continue to execute on what we believe is a long runway of bolt-on opportunities across our portfolio. Consistent with our investment framework, these transactions complement our existing base creating incremental growth opportunities, and enhance our financial profile. Before turning the call over to Al, I'd like to provide an update on our efforts to resolve the remaining contingencies, related to our 2015 oil spill in California. We recently settled two lawsuits, and we have booked a charge of $120 million to our overall Line 901 accrual. With these two settlements, we believe we have resolved all material Line 901 claims against Plains. With respect to our $225 million claim, for reimbursement of a prior class action settlement from our insurance carriers, we expect the majority of the claim, $175 million to be resolved in the first quarter of 2025, which we continue to believe that we are entitled to reimbursement. Overall, we view this settlement as prudent risk management, providing us with more certainty regarding our future cash flow, which allows us to more confidently focus forward on our strategic priorities. With that, I'll turn the call over to Al.
Al Swanson: Thanks, Willie. We reported third quarter adjusted EBITDA net to PAA of $659 million. This reflects the benefit of higher Permian volumes across our gathering, intra-basin and long-haul footprint, and provides momentum for our crude oil segment as we exit 2024. Slide 6 and 7 in today's presentation contains walks that provide details on our third quarter performance. A summary of our updated 2024 guidance is on Slide 8. Shifting to capital allocation, as illustrated on Slide 9. For 2024, we expect to generate approximately $1.45 billion of adjusted free cash flow, excluding changes in assets and liabilities, and including $140 million of bolt-on acquisitions, with approximately $1.15 billion to be allocated to common and preferred distributions. Please note that our adjusted free cash flow guidance has been updated, to reflect our recent bolt-on announcement, charges associated with the previously mentioned legal settlements, and our updated commentary on full year guidance. As Willie mentioned, we continue to advance our efficient growth strategy while maintaining financial flexibility. Our efforts were recently recognized by Moody's, resulting in an upgrade to Baa2 with a stable outlook, with the upgrade, we have now achieved our target of having a mid BBB rating at all three credit rating agencies. With that, I'll turn the call back to Willie.
Willie Chiang: Thanks, Al. While we are optimistic on the future of the U.S. energy industry, which we expect to benefit from improved energy policy, regulatory framework, and hopefully streamlined permitting all critical to U.S. energy security, and our industry's ability to meet global energy needs safely, reliably and responsibly. Our Plains portfolio is more resilient based on the work over the past several years, the investments we've made, and our focus on improving the durability of our earnings, which positions us well to navigate through a volatile macro environment with geopolitical unrest, potential OPEC supply changes, uncertainty around China and broader economic activity. Our company remains well positioned and our strategy is proven. We've made tangible progress across the three key tenets of our strategy, generate significant multiyear free cash flow, maintain capital discipline and return capital to our investors while preserving financial flexibility. The Plains team continues to deliver on our goals initiatives, and our improved outlook provides us more confidence in the trajectory of our business, and long-term focus on increasing return of capital to unitholders. With that, I'll turn the call over to Blake, who will lead us into Q&A.
Blake Fernandez: Thanks, Willie. As we enter the Q&A session, please limit yourself to one question and one follow-up. For those with additional questions, please feel free to return to the queue. This will allow us to address questions from as many participants as possible in our available time, this morning. The IR team will also be available after the call, to address any additional questions you may have. Towanda, we're ready to open the call for questions, please.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Michael Blum with Wells Fargo. Your line is open.
Willie Chiang: Hi Michael.
Michael Blum: Thanks. Hi. Good morning everybody. I wanted to ask about your Permian gathering volumes this quarter. They look particularly strong to us. And I wanted to understand better - how much of that is being driven organically, versus contributions from acquisitions? And is there anything you'd call out in terms of special items this quarter?
Jeremy Goebel: So we have - Michael, this is Jeremy. Good morning. We haven't split those out, but we've seen substantial growth on the organic side. That's probably the primary driver. Year-over-year, there was some modest growth from the acquisitions, but a substantial portion was organic growth from completions across the system.
Michael Blum: Okay. Great. Thanks for that. I wanted to ask you basically like a high-class problem question. So your leverage is now meaningfully below your target range. So wondering what that means going forward? Do you think you may lower the target range for leverage. You've got excess capacity here for additional capital return, just trying to think through the different options, you have as leverage ticks below your target? Thanks.
Willie Chiang: Yes, Michael, this is Willie. Thanks for the acknowledgment of the lower leverage. We don't intend to lower our leverage range, which is 3.25 to 3.75x, any lower. We're pleased where we are. And what we've really done, is with the announcement of the settlement on our California litigation gives, us more confidence to kind of execute against our strategy. And what is that, maximizing free cash flow. We've got a lot of self-help that's going on. But as we've shared, we did before in the group, we're focused a lot on optimization. We call it efficient growth. Certainly, capital efficiency is in there. So we're also trying to do things without capital that improve our business, which is around optimizing our assets, our margins working with our customers' kind of get win-wins. And with that allows us to execute on our kind of the - second pillar of our efficient growth strategy, which is really around bolt-on acquisitions. So when you think about how we deploy capital, we think the bolt-ons for us offer the highest return opportunities for the unitholders. We've done a number of those, as you've seen. We continue to want to do more, and we think we're going to be able to certainly evaluate them, but we're going to stay very disciplined on what we pay for it. Because we want to stay true to not just growing, but growing the returns. Financial flexibility remains there. And then back to the last bullet point as we think about returning cash back to shareholders. That's ultimately where we want to get - we want to focus on and get to over multiple years. So it gives us lots of flexibility to do many things, also things like kind of reoptimizing our balance sheet and if we aren't able to find opportunities for bolt-ons, we will look a little bit more towards some of those options. And hopefully, that helps.
Michael Blum: Thank you.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Spiro Dounis with Citi. Your line is open.
Spiro Dounis: Thanks operator. Good morning team. Maybe we want to go back to volumes if we could. So I imagine you're in discussions now with producers, as we head into the 2025 budget season, and perhaps not ready to provide a final view on '25. Just curious how these early conversations are going, if you give us a sense of, how the year is shaping up here?
Willie Chiang: Spiro, this is Willie. We haven't - obviously, we'll give guidance in February. The high-level comment I would make and then Jeremy can add in as he see fits, 200,000 to 300,000 barrels a day in the Permian was our estimate this year. We expect to be within that range. It was more back-end weighted. And going forward, although we don't have specifics, we would expect similar ranges of growth going forward.
Jeremy Goebel: Spiro, I would agree with that. What I would say is that producer forecasts are matching that from our initial dialogue, but they don't set their budgets until a little bit later, and we won't. We'll tie those into our forecast for next year.
Spiro Dounis: Got it. Got it. We'll wait on that then. And maybe just to go back to capital allocation, but from a different perspective, maybe, I guess we've seen some healthy kind of public valuation markers out there, over the last three months or so. And I guess I'm just curious, specifically around the crude pipeline side, I guess I'm just curious, what does that do to the bid-ask spread, from here as you approach some of these bolt-on deals? And maybe as we think about it the other way, how is - what is the current thinking about the value of your stock here, relative to some of those public markers and what that means for buybacks, you're tracking this year?
Jeremy Goebel: Spiro, I'll take the first part. On the valuation, every asset is unique. Some of the ones that you saw have specific attributes around acreage dedications, producer forecasts, et cetera. So one asset doesn't necessarily set the market for everything. It does say that midstream assets are highly valued, and we're very happy with the assets that we own. We'll be disciplined. We take a very intensive approach to how we look at transactions. And I don't think it impacts our valuation, with respect to how we look at assets and our cash flow requirements. But we'll certainly pay attention to that. We understand the markets, and we understand the dynamics of each asset, and we'll look at them each individually. As far as the valuation question, I'll turn that to Willie.
Willie Chiang: Spiro, I think you realized this, for us, because of our asset base, and the integrated nature of what we do, a lot of times, we're able to capture synergies that others aren't. So that adds to the comments that Jeremy talks about on our view that we should be able to - and really at an evaluation we'll capture more value than others on the bolt-ons. As far as the valuation for Plains, I'll give you a short answer. We think it's lower than it should be, and it's our efforts to drive the value higher.
Spiro Dounis: Yes, fair enough. I'll leave it there. Have a good week. Good weekend, gentlemen.
Willie Chiang: Thanks, Spiro.
Operator: Please stand by for our next question. Our next question comes from the line of Jeremy Tonet with JPMorgan Securities. Your line is open.
Jeremy Tonet: Hi, good morning.
Willie Chiang: Good Morning, Jeremy.
Jeremy Tonet: I just wanted to touch base a little bit more on the bolt-ons, if I could. And I just wanted to see your current thoughts, I guess, on the water business as far as what are disposals concerned, a real important part of the activity in the Permian. And just wondering, is that a line of business where you could see activity going forward, or just doesn't fit your business profile?
Willie Chiang: Well, Jeremy, this is Willie. I'm not going to comment on specifics. For us, the tenants are, can we offer synergies on the business around water. We don't have any real exposure to it now. If there was something that we could - there was an asset and something that would fit well into our business, we would absolutely look at it. We've tended not to get into that. We've got - we've been focusing more on our own asset base, and tending to the knitting a little bit. We don't not look at it, but nothing really to share with you, specifics on whether we would, or wouldn't get into the business.
Jeremy Tonet: Got it. That's helpful there. And then maybe just looking up north for a minute, your Canadian platform. Just wondering how you think about that at this juncture, do you see more growth initiatives beyond what's announced via bolt-ons or organic? Or how do you see yourself, I guess, within the competitive landscape there?
Willie Chiang: Well, I'll start. We have - if you think about the Canadian business, we've really done - our team has done quite a bit of work up there to focus the efforts around two big core areas, one in Edmonton and the other one over in Eastern Canada, and around that. The expansion of our Fort Saskatchewan is critical to improving our fee-based durability of cash flow there. We're shifting more to fee-based versus margin related. There are some other opportunities up there that we would put the same lens on, if it's something that is around the integration benefit that we can get synergies on, we're definitely open to that. But the focus right now is to get the Fort Saskatchewan project complete on schedule and on budget.
Jeremy Tonet: Got it. Very helpful. I'll leave it there. Thanks.
Willie Chiang: Thanks, Jeremy.
Operator: Please stand by for our next question. Our next question comes from the line of Neel Mitra with Bank of America. Your line is open.
Neel Mitra: Hi, thanks for taking my question. I guess this is directed to Jeremy. I just wanted to understand how maybe some of their crude flows are changing with less heavy coming down to the Gulf Coast, how that's impacting Basin, your Cushing storage assets and maybe even the Rockies, just your entire system if there's changes at all?
Jeremy Goebel: Thanks, Neel. So TMX start-up, that's looking like it's running close to 400,000 barrels a day, 50,000 to 100,000 barrels a day of light. That has reduced exports from the Gulf Coast of heavy by about 150,000 to 200,000 barrels a day. So that's been the impact on the heavy side. Throughput that are Cushing through the summer were all-time records. So our specific facility and our refinery focused assets and pipes in and out, are close to record. So we haven't seen much impact to our assets there. On the light side, the combination of the light barrels being exported, plus reductions in some of the DJ and Rockies flows has actually improved basin flows, and you saw that in the quarter, and we expect that to continue, as Permian production grows and those dynamics continue.
Neel Mitra: Okay. Perfect. I wanted to ask a general question. We've seen some peers acquire crude gathering in the Permian, and I know that's something you've been doing on the bolt-on side as well. And on the NGL side, you can direct barrels down your own pipeline, is there any context on the size of the customer or whether you can actually create an integrated system there? Or does the customer kind of choose the pipeline? And I understand in your case, your biggest exposure is to Corpus so people would want to go there. But is it all like the NGL business? Or does every customer get to choose?
Willie Chiang: Neel, this is Willie. Let me ask you to clarify. Were you asking about Canadian integrated NGL or crude oil in Permian?
Neel Mitra: I'm sorry, crude oil in the Permian. The gathering systems that you acquired, do those customers have the choice of choosing the crude pipeline that, they collect their barrels on? Or do you have some optionality to move the barrels for them on?
Jeremy Goebel: So it's a good question. It's a function of who the customer is, and who the shippers are on the lines connected to the gathering system. And so, the answer is it depends. But in many cases, Plains marketing is the shipper on a lot of our assets. And we can structure that to where we're the first purchaser, or we buy and sell and get it back to that customer at different locations. So we purchase it there, we move it to the market and then we give them another barrel back at a different location. So there's lots of flexibility, and that's one of the benefits of our assets. We don't force anyone to go anywhere. We have substantially liquidity to fill our pipes and most of everyone else's. So the uniqueness of our asset is, we don't force them to a destination. They can get to Midland, Crane or any of the other export destinations, and they get to any of the pipes out of the basin. So I think one of the uniqueness that allows us to grow our position, is not forcing anyone to a specific location and having substantial liquidity, to keep our pipelines full and do that.
Willie Chiang: Neel, I'll thank you in advance, you helped us with our calling card with our customers. It's flow assurance, reliability, quality control and access to multiple markets. So we think we have the ability to be able to offer customers all those things, and perhaps differentiates us from some of our other competitors.
Neel Mitra: Okay. Yes, that's a great answer. I really appreciate it.
Willie Chiang: Thank you, Neel.
Operator: Please stand by for our next question. Our next question comes from the line of AJ O'Donnell with TPH. Your line is open.
AJ O'Donnell: Good morning, everyone. Just a quick question from me or a couple of questions from me. First, starting with the CapEx budget. It looks like it came down a bit for 2024. I was just wondering if you could maybe expand on some of the details of driving the change there? Is it related to anything with project timing, cost savings or something else?
Chris Chandler: Good morning AJ, this is Chris Chandler. So yes, we had lower our guidance from $375 million to $360 million net to Plains. This was primarily driven by deferred spending for several projects in the development phase. This, as you heard earlier, does not change the timing of our Fort Sask expansion project that's currently in field construction, and on track to begin in the first half. I'd also note that while spending is being deferred to 2025, we still expect 2025 to be within the previously stated investment capital range, of $300 million to $400 million net to Plains.
AJ O'Donnell: Okay. Great. Thanks for that. Maybe just one more on oil growth in the Permian. Now that we're most of the way through the year. I'm just curious if you can give us some guidelines about how much you've seen so far this year? And maybe how much more we could expect in Q4, now that we have incremental gas egress online from Matterhorn?
Jeremy Goebel: Hi AJ. This is Jeremy. I would say we're certainly within the range now. But typically, you see things slow down as you go in, the potential weather and then you go into December. Last year was particularly strong in the fourth quarter, which muted some of the growth this year, because you had a real reduction in January of this year. But since July, we've seen steady growth across our system and other systems in the basin, and we certainly feel confident in the 200,000 to 300,000 barrel a day range.
AJ O'Donnell: Great. Appreciate the detail. Thanks guys.
Willie Chiang: Thanks, AJ.
Operator: Please stand by for our next question. Our next question comes from the line of Manav Gupta with UBS. Your line is open.
Manav Gupta: Good morning, guys. Quick question. Last quarter, you did raise the guidance. Now obviously, you have indicated you're coming in the top of that guidance. So help us understand a few things, which are going your way, which have allowed you to kind of raise guidance for two quarters in a row now?
Al Swanson: Yes, this is Al. Just basically, we're seeing slightly better performance across our business, both on the crude side and the NGL side. Volumes have been a little bit stronger than we had assumed on the Permian. And the NGL business as well, better recoveries off the fracs. And so it's no one thing. And what I would say is it's a fairly small percentage type of change. If you look and take the high end, we're kind of indicating trending towards the high end, the high end relative to beginning of the year guidance is 3.7%. But there's no one attribute. It's across both segments and multiple areas inside of each of the segments.
Manav Gupta: Perfect. My quick follow-up is, can you get some more commentary around the Fivestones gathering system acquisition? Why was it the right fit and the benefits of this deal?
Jeremy Goebel: Sure. This is just bread and butter for us. It's an asset that was already connected to us. The mainline intra-basin flow to us, and they got us closer to the Rattler guys, we do some long haul business with them, and it integrated the barrels into the system. So this was very similar to many of the other ones done, but just on a smaller scale.
Manav Gupta: Thank you. I'll turn it over.
Willie Chiang: Thanks, Manav.
Operator: Please stand by for our next question. Our next question comes from the line of John Mackay with Goldman Sachs. Your line is open.
John Mackay: Hi, good morning. Thanks for the time. I wanted to circle back maybe just on the capital efficiency side. I know you guys aren't giving '25 guidance here. But I guess just high level as we continue to see the producers basically be able to be more efficient in the Permian, longer laterals, et cetera. Does that mean for plans, your kind of effective gathering CapEx per barrel can, continue to decline from here? I'm just trying to think about framing that up versus your high-level $300 million to $400 million run rate, whether that kind of come down further over time?
Jeremy Goebel: Sure. I think there's two components to it. One is higher recoveries, there's fewer connection points and less wells to chase. The second is larger development, four to eight-well pads versus historical one to two-well pads. They want fewer emissions points. They want higher recoveries, that's aligned with connecting fewer locations for us. So the bigger batteries, which - that's fine for us. The other piece of this fewer emissions points means they come back in behind existing well sites. One perfect example of that is historically, when it was all virgin territory, it's - each location you can connect one or two wells and everyone is a new connection, now close to 40% of all of our connections in the Permian are behind pipes, meaning we've already got facilities. We're just rotating out pumps and meters based on size, but the facilities are already there. So that capital efficiency is something we've been seeing for five years, and we'll continue to do that. And Chris and his team involved, how they do business to manage the changes in the producers.
Willie Chiang: Yes, John, this is Willie. Just one thing to add. Obviously, for us, more volume that's stable is better for companies like us. So my expectations are as continued progress goes on efficiency and technology. We hopefully avoid large, large new wells coming on, big declines and anything that smooths that out obviously has advantages, and allows us to be more capital efficient and help our producer partners.
John Mackay: That's great. That's helpful. Maybe just a second one, going back to, I think Neel's question. We're a few years out now from the Oryx acquisition standing up the big JV. Part of the story at the time was looking to redirect maybe eventually some of those volumes onto the Plains long-haul pipes. So maybe if you could just tie that back into your comments earlier around the general flexibility you guys are giving shippers, and then maybe specifically, an update on kind of how that Oryx strategy, has kind of played out? Thanks.
Jeremy Goebel: Sure. I'd say it's actually been better than we expected, both us and our partners are very happy with the JV. What I would say is the Oryx shippers now have more choices than they did before. And we hope to offer better service, to give them the barrel at one location and get it back. So they still have their old options. They have the new ones. Our pipes has maintained being full. It's been good for our Wink-to-Webster customers. We're the largest origin point for Wink-to-Webster, they're a big consumer of barrels in the Permian Basin. It's been good for our long-haul pipes and our third parties, because we maintain connectivity there. So that's more of a defensive strategy in the case the pipes aren't full, but the basins continue to grow and our pipes remain full. So at this point, it's been perfectly fine and optionality has been good with our customers. And it's candidly allow us to integrate other parts of their business, maybe where we didn't do business with them, to integrate more pieces of their acreage to give them more options, and let them trade across the platform.
John Mackay: Makes sense. Appreciate the time.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Neal Dingmann with Truist Securities. Your line is open.
Neal Dingmann: Thanks for the time. Good morning guys. My question is really just on overall producer volumes and activity. I'm just curious now when you look at what your operators are currently doing to sort of wind down the year with - on oil and NGL volumes, is that on track kind of what you were thinking to end the year and start to next year, and are there - are you still noticing any material, I don't know, either Delaware infrastructure or other constraints impacting which might be even higher activity?
Jeremy Goebel: So that's a good question. So its New Mexico gas evacuation is probably the biggest constraint we've seen this year. While not perfect, I think Kinetic referenced it on their call that there's still some gas in the Northern New Mexico that's getting - look, the industry solves bottlenecks. They and others are solving the bottlenecks. That's gas getting to market. That will help our gathering systems as well. But by and large, you've seen most of those bottlenecks go away. Water is another one, but the industry is dealing with it. And so what I would say is prudently in responsible development by the upstream folks, I think the biggest surprise to us was the continued efficiencies of the producers. And you've heard that on their call, and they continue to get better and the consolidation has actually driven that in the right direction for us, the industry as a whole. So we're cautiously optimistic, and everything is on track to - as good or better than we expected going into next year.
Neal Dingmann: Yes. It's really nice to hear. And then maybe just a quick follow-up on the NGL segment. So again I'm just curious, how different now operation financially should we think about this segment now that you're able to do think you described that last quarter is more of the integrated value chain now after those 15-year-plus contracts. I'm just wondering now that you've done that, what sort of differences should we be looking for operation financially?
Willie Chiang: Yes.
Al Swanson: Go ahead, Willie.
Willie Chiang: I think the biggest takeaway is that as we've been able to swap margin-based business to fee-based business. And as we go forward, our goal is to obviously do more of that. So you should see a little more flatness on the saddle. We have less -- we have some contracts roll off that we were sharing in some price benefits of higher fresh spreads, but now it's going to be steadier with the volumes going through the systems. Anything to add, Jeremy?
Jeremy Goebel: No.
Neal Dingmann: Great. Thank you all.
Willie Chiang: Thanks, Neal.
Operator: Thank you. Ladies and gentlemen, I'm showing no further questions in the queue. I would now like to turn the call back over to Willie Chiang for closing remarks.
Willie Chiang: Well, thanks so much, everyone, for dialing in your continued interest in Plains. We'll give you more updates in February, but we'll see you on the road, and have a nice weekend, everyone. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.